Operator: Good day, and welcome to the 5E Advanced Materials Fiscal Year 2025 Year-End Results Conference Call. [Operator Instructions] Please note, today's call is being recorded. Before we begin, I would like to remind everyone that today's discussion will include forward-looking statements. These statements are based on current expectations and assumptions and subject to risks and uncertainties that may cause actual results to differ materially. For more information on these risks, please refer to the company's filings with the Securities and Exchange Commission. 5E Advanced Materials undertakes no obligation to update or revise any forward-looking statements. At this time, I would now like to turn the call over to Paul Weibel, Chief Executive Officer of 5E Advanced Materials. Paul, please go ahead.
Paul Weibel: Good afternoon, and thank you for joining us today. Fiscal year 2025 has been a transformative year as we move from development to commercial readiness. We achieved broad validation across our project from the SK-1300 pre-feasibility study to customer qualifications and supply chain milestones. Before I go into detail, let me summarize the key achievements from fiscal year 2025. Strong project economics have been validated. Our recently published pre-feasibility study for Phase 1 only confirms a 39.5 year mine life with a robust after-tax NPV of $725 million and a 19% project IRR. Commercial front, we have successfully qualified our high-purity boric acid with 14 customers across multiple segments and have now advanced to full-scale production testing with a Tier 1 specialty glass manufacturer. On the financing front, we received a nonbinding LOI from USXM for a potential $285 million project debt facility, a major step towards securing funding for Phase 1 construction. And in regards to on track for being -- towards the project FID, we now have milestones and are well positioned to advance towards FEED engineering and a final investment decision in mid-2026. Today, I will cover these 4 areas in more detail and discuss the upcoming fiscal year 2026. First, the recently published SK-1300 PFS provides a strong validation of the scale, economics and longevity of our Ford Cady resource and reserve. This study covers Phase 1 only, not including future expansions or higher-value boron derivatives. The results underscore the strength of our project fundamentals. The project shows a pretax NPV of approximately $725 million with a 19% project IRR. The after-tax NPV is about $469 million with a 16% project IRR. We estimate free cash flow over the life of mine have roughly $3.7 billion pretax with an after-tax payback of just under 6 years. The study outlines a 39.5 year mine life, supported by 5.4 million short tons of boric acid reserves. Phase 1 targets 130,000 short tons per year of boric acid, which we believe has a strong need in today's global market. On the cost front, all-in sustaining costs are estimated at $555 per ton with initial capital at about $435 million. This is inclusive of contingency and a gas cogen facility. These results are underpinned by real-world operating data from our small sale facility, which confirmed our expected recovery and efficiencies. Thus far, we have received highly favorable feedback from analysts, prospective customers and the investment community. Next, I'd like to turn our attention to our traction with customers where we see growing validation. Earlier this year, 14 customers successfully qualified our boric acid. They span a wide range of industries that includes specialty glass, fiberglass, ceramics, insulation, agricultural, defense and chemicals. We continue to see accelerating demand for our high-purity U.S.-based boron supply and additional customers are in advanced testing phases. As we move from breadth to depth, we recently hit a significant milestone with a Tier 1 specialty glass manufacturer. We completed a full logistics and handling trial, shipping 2 tons of product from the California Port of L.A. to Taiwan. This trip took approximately 20 days and the material passed all on-site handling tests, including successful deployment in a glass furnace. As a result, we have received a green light to advance to full-scale product testing within this future customers' production system. As it currently stands, the product for the full-scale product test is produced and fits ready to ship. We are coordinating the shipping PO and the shipment of 20 tons of high-quality borate product is imminently expected. The next trial is expected to take 2 to 3 weeks to ship overseas and approximately 5 weeks to test in a commercial glass furnace. Furthermore, our team has begun producing the next batch of high-quality borate that will go to other large LCD glass manufacturers who are waiting in queue to implement a similar test. Our operation is proven, scalable and consistently meeting the strictest global quality standards. With these successful milestones being delivered, we have formally entered into long-term offtake discussions and have had 2 formal presentations with the most recent being a presentation of specific offtake terms. Most recently, our forecast of supply and demand has been resonating with our future customers, and industry dynamics are creating a clear opportunity for 5E, particularly in light of recent announcements from 1 of the 2 major borate producers. 5E and our stakeholders believe there is a fundamental need and requirement for a new market producer to reduce supply chain risks and our method and approach thus far has reinforced confidence and strengthens trust within the borate market and investor communities. Finally, I'll cover our road map to FID and financing. We remain on the path towards an FID by mid-2026. We have commenced early FEED engineering activities with 5E targeting the formerly stage gate to FEED engineering before year-end. We have prepared an application for the EXIM Engineering Multiplier Program and target $8.5 million to $10 million in a loan facility that will provide the capital and liquidity to fully fund FEED engineering. Once stage-gated to FEED, we expect that process to take approximately 8 to 9 months to complete, which leads to FID in mid-2026. Last week, we submitted a formal response to the USGS draft critical minerals list, where we strongly believe boron has a place on the list. The draft list was released prior to the second largest borate manufacturer, citing that their business is under strategic review. As it currently stands, we believe the United States has a single point of failure in the borate market. Per publicly available financial results the second largest port producer and single point of failure in the United States supply chain have seen their costs increase approximately 60% for 2017 on a B203 basis. Given the material announcement at the largest U.S. borate producer, their 2018 reserve downgrade and what we believe are weakening business fundamentals, there is a need add boron to the proposed critical minerals list. Without this producer, the United States would lose its position as the second largest producer and as a nation, we would transition from a net exporter to a net importer. The boron market is an oligopoly. The United States has a single point of failure and without further investment in new borate projects, the United States will be reliant on Turkey for boron and China for its critical advanced boron materials. We view 2025 as an inflection year for boron, as independent analysis shows supply shortfalls beginning in 2026, which we believe supports the fundamental need for a new market producer. Looking ahead, we are focused on several key catalysts in the upcoming quarters. These include progressing full-scale testing with multiple specialty glass manufacturers, securing additional qualifications and initial offtake agreements, securing a small XM loan to cover FEED engineering costs, completing fee-ready, engineering deliverables, advancing the larger project finance and XM loan process, finalization of our mine plan in connection with our horizontal well trials and lastly, the potential opportunity for USGS to do the right thing and add boron to the final critical minerals list. In closing, I want to thank our employees and partners for their dedication. With the achievements from fiscal year 2025, we are well positioned to advance towards FID in mid-2026, and build long-term value for our shareholders and our stakeholders. Thank you, and I look forward to your questions.
Operator: [Operator Instructions] Okay. And it looks like -- apologies, just about to hand it back to you, Paul, but we did get a question coming in from Tate Sullivan from Maxim Group.
Tate Sullivan: Can you review the comments you had about the disruption to the California boron mine? What was the specific announcement that you cited?
Paul Weibel: Tate, yes. No, appreciate you dialing in and thanks for the question. So at the end of August, Rio, with the appointment of the new CEO, made announcements that they've streamlined their business. Historically, Rio has been broken up into 4 different business segments. And on a go-forward basis, they're now structured where they have 3 business segments, which is one, iron ore; two, copper; and three aluminum or lithium. And essentially, the industrial minerals, which I believe that's where their diamonds, borates and titanium business sat, are essentially up for -- well, they now sit with the chief -- the office of the Chief Commercial Officer for the release and they are up for a strategic review.
Tate Sullivan: Okay. And then to get boron on the USGS critical mineral list, is it a -- I mean 3, 6-month process or what needs to happen in terms of the review?
Paul Weibel: Great question. So we were in D.C., I was down there and met with Interior in July. Kind of the word on the Street was that sometime this fall, the draft list would come out. And there was no comment on it, boron would or would not make the list. But essentially, the appropriate measure to get boron added to the list is essentially to submit public comments. My kind of gut told me at a time, I should expect to see a draft list by October. Was pleasantly surprised that kind of came in ahead, and I think it was maybe the first week of September or last week of August the draft list was published, which essentially opened up a 30-day public comment window. All comments are available on the Federal Register. And we submitted our comment, as did believe 8 other groups, that you could search for borate on the Federal Register under the comments and they're all there. I was pleased that there was some well-known groups that did apply. And so we're not now the kind of the only one in the room kind of ringing the bell that there are supply chain concerns there in this market.
Operator: And there were no other questions at this time. I will now turn the call back over to Paul Weibel for any closing remarks.
Paul Weibel: Great. Thank you. I appreciate the Q&A during today's call. As noted, we believe 5E has the right resource, and now it's the right time. We are committed to building a strong and resilient borate supply chain that underpins the U.S. industrial base for many generations to come. We look forward to fiscal year 2026 and delivering on our expected milestones as we go into 2026. Thank you.
Operator: Thank you. And this does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.